Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Roblox Q4 2021 Earnings Conference Call. [Operator Instructions]  Anna Yen, you may now begin your conference.
Anna Yen: Good morning, everyone, and thank you for joining our Q&A session to discuss Roblox' Q4 and Fiscal 2021 Results. With me today is Roblox' CEO; David Baszucki; and CFO, Mike Guthrie. Before we start, I want to remind everyone that yesterday after market closed, we published a shareholder letter and earnings results on our Investor Relations website at ir.roblox.com. On this call, we will make some brief opening remarks and reserve the rest of the time for your questions. For webcast participants, please note the question icon at the bottom of your screen where you can type in your questions. We'll do our best to take as many questions as possible.  On today's call, we will be making forward-looking statements, including, but not limited to, our expectations of our business, future financial results and strategy. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements, and such risks are described in our risk factors included in our SEC filings, including our Form 10-Q filed for the first quarter ended -- for the fiscal quarter ended September 30, 2021. You should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our press release issued yesterday as well as in our supplemental slides, copies of which can be found on our IR website. Finally, this call is being webcast and will be archived on our website shortly afterwards. With that, I'll turn the call over to David.
David Baszucki: Thank you, Anna. This is David Baszucki, and I'm joined by Mike Guthrie this morning. We'd like to welcome our Roblox community and our investors, both large and small. Great to be with you all today. And we're wishing you and your families all the best as hopefully, we're emerging from COVID. Last year at this time, we were heavily buttoned down. Today, we have many of our Robloxians live in the office. We appreciate your partnership as you're joining us in our mission of bringing 1 billion people together with stability and optimism around the world.  A couple of quick highlights before we dive in with some additional facts that were not shared in our shareholder letter. In addition to our January user growth, our 17 through 24-year-old segment in January grew 51% year-on-year, which is a wonderful validation of our vision to bring people of all ages together on our platform. And internationally, in addition to strong growth in Asia Pacific, Latin America and Europe, 2 countries that we have a lot of focus on, Japan and India, both grew over 100% year-on-year, which is wonderful for us.  As we start to look at expanding the uses of Roblox, our community fund is live, and we have, as we've announced, some exciting partnerships, including with FIRST Robotics. And we continue to do branded events and concerts almost as fast as we can go as we move towards our vision of making these types of experiences completely self-serve. And I would highlight our recent partnership both with the NFL and Zara Larsson. Over 40% of the top 100 experiences on Roblox right now are using voice, and we are working thoughtfully and carefully as we expand this rollout to our 13 [new] validated users. And as always, we'll do this with safety and stability. And we have a lot of wonderful stuff in the pipeline that we can talk about today on the product side. With that, I'd just like to highlight our core value is always safety and stability. And that's where we put our primary focus. And with that, I'll hand it over to Mike Guthrie to see if he has any opening remarks.
Mike Guthrie: Thanks, Dave. I just want to -- wanted to end on some of the things as Dave said. In addition to the high rate of growth in 17 to 24 year olds, that age demographic did comprise 20.5% of all DAUs in January. So it's not as though as it's a small segment for us. It's a large segment, it's growing quickly. As Dave also mentioned, we're basically 7 quarters into COVID. The first 4 quarters, our business grew dramatically, and we had quarters in which our top line was tripling year-over-year. And even this time last year, it was 2.6x what it had been the year before. So we're obviously lapping some fairly significant growth. What we do know, for sure, is that we're jumping off into '22 and into a period where the, hopefully, the world is reopening, in a place where we just have never been bigger or better positioned. We are at peak users on the platform. We are at peak engagement, having been over 4.2 billion hours and over $4 billion for the first time. We have never had as many payers on the platform. And most importantly, we've never shared more on the economics of the developer community and had a stronger set of incentives for developers to build amazing content. We've never worked with more artists on the music side or brand on Roblox. And last and certainly not least, we have never had more incredibly talented product and engineering professionals in our company excited to build amazing things over the next few years. So we couldn't be more excited about jumping into 2022 and beyond, and we really look forward to taking questions this morning.  And with that, I think we'll open it up.
Anna Yen: Over to you, Audra.
Operator: [Operator Instructions] We'll go first to Mike Ng at Goldman Sachs.
Mike Ng: I was just wondering if you could talk a little bit about your view on the impact of gift cards in the quarter, particularly in December? And how that may have impacted January bookings?
Mike Guthrie: Mike, thanks for the question. We had a huge Q4 gift cards. Gift cards grew incredibly quickly. What we've learned is that it's an incredible channel. It's very powerful, getting gift cards in front of more people as they're in the physical world, its the highest priority for us. And we just grew at a really accelerated rate in the gift card business in December. You target such a great gifting item. It's certainly possible that users came into January with Roblox balances. We've been doing a little bit of work inside the company trying to figure that out. I don't have enough good data to suggest that there might have been some deferred purchasing in January. So I don't want to -- I really don't want to make that statement. We're going to continue to do some work, but what you should take away from this is our prepaid card team looks at the store value product as a really exciting one, and we are going to be putting quite a bit of resources behind growing that in 2022.
Mike Ng: Great. And if I could just have a quick follow-up. Could you just talk a little bit about how you see the bookings growth evolving throughout 2022 and then into 2023?
Mike Guthrie: I mean, we don't give formal guidance, as you know. I always look variety of data, but I look at our bookings charts and our DAU chart a lot. I look at them over like a 12-quarter period. And obviously, on an absolute basis, the business has been really up into the right over the last, well, 12 quarters and even before that. The point of that, though, is when I look at the growth rates that were in 2Q of '20 and 3Q of '20 and 4Q of '20, the first 4 quarters of COVID, we just had immense growth 3 times the rate of growth in some of the quarters. Between the first quarter of '21 and the second quarter of '21, we went from 161% bookings growth to 35%. And what that really represented was comparisons. We were finally in a period where we were comparing against our early quarterly results when COVID started.  When we look at Ebola, a lot to see, is that a onetime bump in our business? Or are we retaining those users? Are they becoming engaged users on Roblox? And as we open things up or as the world opens up, are they staying with us? And the answer is yes. We probably most clearly see that in payer data, where just the raw number of payers has been growing sequentially for a long time and now it is at peak levels.  What we also know right now is that the big difference in bookings, separate from users and engagement. It's -- the biggest in the growth in bookings really has to do with the rates of growth on weekdays and weekends. So if we just look at the United States and the United Kingdom, in particular, when COVID started every day, Monday through Friday, we had super high growth because people weren't at work or at school versus our normally high rates of growth, mostly focused on the weekend.  Now we're kind of unwinding that trend that people are going back to work, our growth rates necessarily is going down on the weekdays. But the weekend growth is still significant. And so that gives us confidence to say that as we lap we believe that we'll be returning to high rates of growth as a great consumer internet business. So that's what we're focused on doing.  The difficult compares really when we look at last year, it's right after April, in that May, June time frame that we talked about. And just having looking at that data as you're coming down the other side, I would expect that growth starts to accelerate. And as we look to late this year, then we're going to start getting more normalized comparisons and that should be an indication of what we think we can do in '23 and '24. But overall, when we look at that data, we also look at a lot of other things like changes to our product, things that we're doing and how we're investing in the business. And as a company focused on getting to 1 billion users, we're nowhere close to that. So we're quite optimistic about growth, especially as we expand the platform into other areas.
Operator: We'll move next to David Karnovsky with JPMorgan.
David Karnovsky: Mike, maybe just a follow up on your prior comments. As it pertains to U.S. and U.K. specifically, right? Do you see January sort of representing, at this point, a normalized level of post-pandemic spend and engagement for weekdays? Or do you expect just a little bit more further readjustment as these regions head toward a full reopening?
Mike Guthrie: David, good question. We've watched this trend for a little while. It's hard for me to peg exactly the date we will be absolutely sort of back to normal. As Dave mentioned in his comments, we're in the office today. It's a big team of folks in a conference room for the first time in a long time. And so I think the world is adjusting to that. And my sense is it's going to -- it will take a few more recent months.  But in a sense, every country is a little bit different. I mean the U.S. has had it's own cadence of openings and closings and different policies going state by state. The U.K. has been different than we have been. Scandinavia has always been a core great market for us, albeit smaller from a user perspective because people are very fluent in English, it was an early adopter of Roblox. But they had a very different approach to curve it than we have had from a policy standpoint.  So it's not easy to like pick the bottom. So I think we'll see these kinds of trends going for a little while. And in a sense, it's such an -- COVID is such an odd externality for businesses to deal with, it's -- I think it's possible that almost every business in '23 will be, hopefully, it's [dispersed] by two year in about 3 years because you just had an impact of either having it shutting things down or then reopening. And I think, obviously, we're still -- all optimistic that '22 is opening -- we're open for business, so it's not far away. When I look at the year-over-year numbers, I sort of peg it as somewhere between April-May, May-June, but that's still a guess.
David Karnovsky: Okay. And then Dave, can you maybe expand a bit on some of the actions you're taking to make the platform more scalable for brands? And then for companies like Nike or Vans that are running persistent experience on Roblox, I will be interested to know the feedback so far and how they view the platform as a channel to reach their consumers?
David Baszucki: Yes. Thanks for asking that. Whether it's Gucci, Vans, Nike or the NFL, the vision we have is that immersive 3D interaction is ultimately an amazing way for fans to connect with brands, possibly even more than print or image or video. And we shared some of the numbers with Gucci. I don't think we shared Nike or Vans numbers or the NFL numbers. What we -- we can see a future where brands come to our platform, they use our Talent Hub to connect with our community. The Talent Hub is live to find partners to help build these experiences.  And ultimately, the building of these experiences is very similar to building a video spot. We are working now additionally in ways for brands and artists to validate their accounts. So we know it's the real brand or artist so that they can boost traffic internally to their destination if they want. So on a single day, for example, they can use facilities on their own without a partnership with us to boost traffic to those experiences. And then finally, ways -- just based on our core technology to make it easier and easier for a very scaled, highly complex experiences to work at super high performance on all devices, phone, tablet and computer where ultimately the technology we're building will be akin to video or camera and that is more and more people can make these things very easily.
Operator: We'll move next to Clark Lampen at BTIG.
Clark Lampen: I have a quick question on user growth and the impact that international mix is going to have as that sort of grows over time. I was wondering if you could help us think about how much localizing the Roblox software and developers kit has on growth? I think you guys cover a little over 40% of the world's population in their native language. And I'm curious how that's benefiting consumer onboarding, developer growth, velocity creation, things along those lines?
David Baszucki: I'll go first with a high-level product vision, and then I'll hand it over to Mike. The -- we have a twofold vision. Like any other traditional software product, we want our clients and in certain countries, Roblox Studio to be available in the local language, and we continue to expand those languages. But the second thing is when a creator makes content on Roblox, in addition to pushing that content one time to any device, on tablet, computer console, we also want that content to push automatically to multiple languages at the same time. And this is how we run right now. We continue to add languages, Japanese, for example, Russian and other languages to make that happen automatically. And in addition, we always bring up live ops, trust and safety as well to complement the live operations of that in multiple countries. So yes, as we add more languages there's increased coverage, hopefully, with the exact same quality we have in our native English first language. And then I'll let Mike --
Mike Guthrie: Clark, does that get to your question or was there a more specific financial part to it as well.
Clark Lampen: Yes. No, nothing specific. I guess I'm just curious if you guys have seen as that happens that there is a significant uptick in developer onboarding or consumer onboarding and engagement. And it sounds like it's just kind of across the board, it's helpful.
Mike Guthrie: Yes, that's right. I mean we do look at data where we look at what we call affinity. So it is a local affinity for content in that language. And there generally is, which means to the extent that we are successful in growing a local developer community in those markets, that content will probably find a really receptive market.  On the other hand, it's also been true over the years that Roblox set -- popular global content is pretty popular around the world. Localization tends to help. But some things are just universal, which is cool. But I don't think it ever hurts us to have a growing and healthy local developer community because some of that content will just find a really receptive audience.
David Baszucki: We -- and just a final wrap-up on the developer community. We have a recent blog post where we identify the ranking of where we see Roblox developers. In order United States, Brazil, Russia, Philippines, United Kingdom, Germany, Canada, Mexico, Turkey, South Korea. There's really a variety of organic creators and developers coming on from around the world.
Operator: Next, we'll move to Brian Nowak at Morgan Stanley.
Brian Nowak: Rather than talking year-on-year, I think it could be helpful to talk about sequential a little bit, just given sort of the noise in the year-on-year comps. It looks like North America daily active users were down sequentially. Could you just talk about what age group is driving that, which one is declining versus not growing as quickly sequentially? And then are you seeing North America DAUs up in January versus December? And how do you think about the sequential growth of North America DAUs throughout the rest of this quarter?
Mike Guthrie: Yes. Brian, DAU in the fourth quarter, it's not unusual to have a decline. Just think a little bit that Q3 is July, August and September. July and August are just peak for us. Like this is absolutely high-level time of activity. September back-to-school and things slow down, it's a shorter month. And then October and November are actually pretty quiet for us until late, and things pick up, a little bit of a bump on Halloween. So -- and it really picks up around December, obviously, for the holiday. So Q3 has been bigger than Q4 in many years. It's not really unusual.  The other effect that’s on DAUs, daily active users, is this frequency issue, right? The number of accounts, I don't have that off the top of my head, it's probably not down year-over-year. It's just that daily activity is coming down because, again, people are back to school, back to work and it's incredibly difficult to compare with a period where everything was shut down. We've just never seen anything like that in our history. So in January24.12], we'll see what happens overall in Q2. But the comparisons actually will also affect the sequential data.
Brian Nowak: So January still down versus December? 
Mike Guthrie: I’ll get – I’m going to look around the table and get the data for you, and we’ll come back before the end of the call.
Operator: We'll go next to Brandon Ross at LightShed.
Brandon Ross: I have a few. First, as we try and sort through this noise that COVID has presented, if you look at the -- on a 2-year basis, U.S. DAU growth is -- the CAGR is like 25%. Should we expect that number to be similar as we approach like real normalization going forward? Is that a good way to think about future growth on a normalized basis?
Mike Guthrie: In the U.S.?
Brandon Ross: In the U.S., Yes.
Mike Guthrie: I'm not -- I don't know if specifically 25% is the right number. What's going to happen over the next few years, is that number is going to be defined much more by an older user base. So for example, right now, if I get back to Brian's earlier question, my strong sense is that 17 to 24 is actually not down sequentially, and we know the year-over-year growth rates are really substantial. So in the U.S. market, generally, what we're seeing right now and we expect to see in the next few years, is that growth will be defined primarily by older users, and those numbers grow the user base.If I look at 13 to 16 and 17 to 24, those growth rates are pretty high right now. 9 to 12 and even U9, we have a huge user base there, but we also have a very high percentage of the population. So we've been incredibly successful.  Our strategy and expectation with that market is to continue to penetrate that market, but we're getting to a point where obviously, additional penetration is going to be hard to do because we have such a good foothold. And our focus will be to make sure that we don't leave that market, and we're continuing to -- we continue to focus on what has been our core market. The growth is going to be driven by older users, and that will be when Dave talks about the percentage of experiences that are aged up experiences or percentage of experiences where we have, boy, those are age-verified older users. Those are the kinds of things that are going to drive growth in the United States. Now again, if you look at our numbers right now, growth is also being driven outside of the United States at pretty aggressive rates. And that's just necessary, right? We're going to be growing -- we're fortunately growing Asia Pacific, Latin America, parts of Europe. So overall, if I cut it into pieces, the slower growth would be core markets, U.S. the core age demographic in the U.S., the under 13 high growth and aging up. And then really, we should be high growth in the rest of the world for quite a while.  And I'll turn it back over to David.
David Baszucki: Yes, I just want to highlight one other. For a long time, we were a monthly active user company, and we don't share those results, I believe, public. But those numbers highlight a traditional type of behavior on Roblox, especially weekend behavior where those numbers are supported by weekend behavior. As we move to DAU behaviour, and Mike has shared that, we capture usage on everyday. And one thing to note, a lot of the product vision that we are working on right now for Roblox in addition to engagement is DAU type product behaviour, spontaneous communication, voice, communication, faster frequency of the product. So there are a lot of product functionality, things that we're working on that in a world where MAUs were growing, we would expect DAUs to grow even faster based on that product functionality.
Mike Guthrie: And then before bringing another question, sorry, I just want to respond to Brian's last question. So Brian, DAUs in January are -- in U.S. and Canada are up sequentially in January over December. It's actually a pretty nice bump. So just to close out your prior question. So Brandon, sorry, let's -- back to you.
Brandon Ross: Before I get to a big picture question, just kind of extrapolating from what you're saying overall, are monthly active users in the U.S. in more established markets continuing to grow despite the decline in DAU as it's been less of a daily habit moving to the weekend?
Mike Guthrie: Yes, it's probably -- the other trend was to go back and look at it. We're not -- it's very difficult for us to report that number and answer your question because we know we have duplicate accounts in that number. So it doesn't really do me a lot of good to give you that number if I'm not totally confident.  However, what I will tell you is conversion of -- in our -- when we look at our numbers, the conversion of DAUs to MAUs is actually growing. The right -- I think the question you're trying to get at, Brandon, would be accounts. As we looked at accounts, are accounts growing or contracting, I definitely don't have that number off the top of my head. But my guess is that number is still growing in the U.S. And again, with older users growing as quickly as they are, I'm almost positive of that. So that's the number that we should go back and take a look at. But the MAU number, because it includes all the counts, it's just a little more complicated, but we know the conversion rate is going up. So that is good. There is a frequency there. It's just a frequency compared to a period of time. It may sound like a broken record. Everybody was locked down. And so it's very, very hard to compare to a period where people aren't leaving the house and really didn't have a lot of alternatives. Yet, we're still quite a bit bigger than we were then. So that's really the thing that we're working through right now.
Brandon Ross: Okay. Great. And then you talked in the letter about learning a lot from the brand experimentation on the platform. And as you look at the brands that have built experiences for your platform, which ones do you believe have been the most successful experiences and why? What does it take for brands to succeed on Roblox right now?
Mike Guthrie: I'll start by saying, I think we love all of our children equally. I don't like to say [Indiscernible] brand is -- its so early, I mean we had an discussion, it's just so early, we do love seeing the experimentation. Brands and heads of marketing of different goals and different approaches to interaction with the user base. And I think I'll let Dave respond. But I think we’re really in a very cool experimentation phase. So we love the fact that people are testing. One of the things that so different is the sheer level of engagement that brands may be able to enjoy on our platform versus anything else that, like --
David Baszucki: Yes. I think it's really early. I think without giving any forward-looking thoughts on future product functionality. One can imagine just as in video advertising and brand, its such a large market, one can imagine the size of that in immersive 3D. Once we start moving into 3D human co-experience, we start to see things that mirror the real world. And so when we walk through Gucci, that is an experience that is virtually visiting, installation and purchasing things, and we've actually seen some interesting trading of those items, just like in the real world. Following that with Nike and Vans' experience, wearing that clothing, taking your skateboard out, hanging out with your friends, something we do in the real world. With the NFL interacting and playing with your friends around virtual football league and all of those kind of things.  So they are all our children. We want to highlight right now that we are focused on the scalability, the self-serve, the elegance of the experience and the engagement of those experiences while reserving all of the long-term monetization. So we are more focused on DAU, user engagement growth with them than trying to monetize them heavily. But we're very optimistic. There's a lot of flexibility and creativity for brands to take what they would do in the real world and mirror it in our digital world.
Operator: We'll go next to Matthew Thornton at Truist Securities.
Matthew Thornton: Maybe just following up on the brand's commentary there David. I guess, how far are we from seeing commerce enabled on the platform with a first step maybe being a partnership with someone like a Shopify or comparable. I'm kind of curious, any thoughts there. Secondly, coming back to the U.K. and the DAUs question. I know sequentially, the -- they've always been down historically. But I think year-on-year, if we back out the outage, I'm curious if that would -- if you have any idea as to how much impact that had on the year-over-year comparison on the DAU? And then just relatedly there, I guess, Mike, I'm not sure if you have any data on the under 13 cohort and particularly like the 5 to 11 type demo because, obviously, vaccination has really just kicked off in November there. So I'm curious if that's kind of coming into play there as well. Any thoughts there would be great.
David Baszucki: I'll highlight that we do watch USA 9 to 12 as well as 17 through 24. We do not publish the MAU numbers, but it's pretty well known that in USA 9 through 12 on the MAU side we’re a cultural phenomenon with very high usage, there's a lot of headroom on the DAU to MAU ratio. And so when we look at future DAUs in the United States, as that ratio gets better, as Roblox -- the headroom Roblox is a utility that's used daily for a wide range of things, communication, play, learning. There's a lot of headroom on that ratio. So that is the vision of how those USA 9 through 12 DAUs can continue to grow. On brands, there's -- as you correctly note, future areas of monetization include digital shopping, one of our partners, someday their 3D destination in addition to a try-it-on brand experience, people will be buying from those experiences, and having those items delivered to their doorstep, although we're not going to announce them when and how that will work. There is, obviously, a full brand immersion type of advertising that we're starting to see early signals of. There's also a dynamic advertising opportunity that we’ll be exploring -- which includes the use of teleports to go from place to place to launch people into individual places, includes the use of dynamic display ads that instead of getting in front of the experience of delaying the user are immersive and native.  So the highlight here is we've got $3 billion or whatever the right number, Mike, of cash in the bank. We're hiring a lot of amazing engineers but we are primarily focused on safe and civil quality user engagement growth and DAU growth right now on the platform with a lot of opportunity for gentle increased monetization that doesn't get in front of our users long term.
Mike Guthrie: Yes. And Matt, what -- sorry, go back to your second question, it was about U.S. and Canada DAU, and you break up something of that, I just didn't track.
Matthew Thornton: Yes. Sorry, Mike. I guess I know they're always down sequentially, but I guess year-on-year, are you able to quantify what impact the outage had? And then just relatedly, if you think about the 5 to 11 demo, obviously, vaccinations really just kicked off in early November there. So I'm curious if you have any data to kind of maybe talk to what kind of impact that could be having in that cohort in 4Q and as we go into '22?
Mike Guthrie: Yes. What I can tell you on the U9 cohort is that on a global basis, it's growing quickly and it's falling to -- 1 second, I don't know. Yes. So U9 , right now on a global basis is just about at the average growth rate of DAU. It's just a little underneath it. So U9 is still growing quickly. U.S. specifically, I don't have it in front of me. I'm not sure. I'm not going to actually get to that level of detail.  But you asked about the outage, we talked -- in our November release, we talked a little bit about it with 3 days and the timing. I think we did a pretty good job of estimating it. So I'll go back and take a look at that. Yes. Okay. But I know for a fact in January over December, the overall U13 is growing sequentially. The year-over-year data I don't have in front of me, and I don't certainly have U9 versus 9 to 12, but U9 is less penetrated than 9 to 12.
Operator: [Operator Instructions] We'll go next to Bernie McTernan with Needham & Company.
Bernie McTernan: Mike, I was wondering -- I appreciate the breakdown between weekends and weekdays. I think that's really helpful. Is it possible to give a number for what weekends grew at in either 4Q or January for bookings?
Mike Guthrie: There is not. But thank you for asking. I'm just not going to get into that. [Multiple Speakers]
Bernie McTernan: Exactly, what’s the number on that --
Mike Guthrie: Yes, go ahead.
Bernie McTernan: Yes. And I understand you want to keep the friction low for brands to experiment on the platform. What's the signal you guys are looking for, though, to know when the right time to focus on monetization really is?
Mike Guthrie: With brands what is the right time to turn on monetization?
Bernie McTernan: Yes.
Mike Guthrie: I'll give you a quick overview, and then I'll let Dave talk more about it. It's incredibly subjective. Right now, last year, we had 12 great successful brand experiences. In the beginning of this year, we started off at a higher rate. I think the metric for 2022 is the sheer number of great brands that just do something with us so that they're looking at the platform and experimenting. And as we watch what they do and how they do it and the value that they get, then I think we can start having those discussions.  I think to do it otherwise, it would be to add a lot of friction, require long negotiations and really slow down that part of the platform, which I think would be a real mistake. I've had conversations in the last few weeks and months with some of the developer community. Many of them are getting very, very sophisticated. These developers are really building sophisticated businesses. They're not just hiring developers, they're hiring business people. They look at the brand opportunity. They're really excited about it. The recent brand experiences are built by our community. And they're really excited about that opportunity. The economics of that is a great pairing to what they're doing on their other creations and building of gaming experiences. And so we want to let that really grow organically rather than try to cut that off and slow it down.
David Baszucki: Yes. And then this is Dave chiming in on what you might see, once again without giving any date, that is a functionality on our platform that supports both brands and developers. For developers, we're seeing more and more VC-backed developers, developers taking a bigger risk and many of these developers, just as they do in other markets, want to initially bring people to their experience as they test, as they grow and boost themselves. And so we have a primitive system on our platform. We are refining that, so that is much more sophisticated.  That concept of boosting and really essentially paying to bring people to a destination in a nice way is very similar to a brand in the traditional TV spot where they want to make sure they get a certain number of eyeballs on their, in this case, video, but in the future in their 3D immersive experience. So you will see us working on ways for brands. If a brand wants to predictively have 5 million people in a week, for example, come to their experience at some point -- and once again, I'm not sure what the right number is, whether it's 100,000 or whatever, have a way to do that and guarantee they can bring that type of exposure.
Operator: We'll go next to Drew Crum at Stifel.
Drew Crum: Several larger entities have expressed ambitions around or an intent to develop a metaverse. As you reflect on last year, did you find that this competitive push created any challenges for Roblox, including your ability to recruit and retain intellectual capital? And would you anticipate this changing in any way in 2022?
David Baszucki: Yes. I'll comment on this. The metaverse concept has been around for 30 years, and this has been consistent from the initial mention in Snow Crash through some products in actually the early 2000s through Roblox. We've been doing this for 16 years. We have a cool -- bunch of things that are really foundational to us, including being 100% UGC platform, a foundation on safety and stability and really a company based on innovation. We've seen absolutely 0 friction on the recruiting side as we continue to grow and show our vision of where we're going here.
Operator: And next, we'll move to Omar Dessouky at Bank of America.
Omar Dessouky: Can you hear me?
Mike Guthrie: Yes, we can.
Omar Dessouky: Okay. You presented a compelling feature release road map for the first half of '22 at your Investor Day in November, including spatial voice, UGC, 3D-layered clothing, Avatar heads, faces and bodies and facial expressions, for example. Which of your feature road map would you consider continuous improvement of the platform versus a step change improvement in the technology? And also, how would you think about your acquired technologies such as human and Guilded in that respect?
David Baszucki: Yes. So a couple of highlights. We presented a really wide road map at our Investor Day. I don't think we gave any shift dates for that. And at the same time, we're live with spatial audio, and I think the layered clothing and UGC bodies are -- I can see where they are in the pipeline. I'm really excited and optimistic about that. But I wouldn't -- we would never give shift dates on anything. On our acquisitions, we tend to make 2 types of acquisitions. We are traditionally bringing people on board who are experts in certain fields, whether it's Loom.ai, as you mentioned, some of the others that have expertise around Avatar or other types of our platforms, social with Bash.  And then on the case with Guilded, this is a wonderful parallel category. I would call that the social communication platform and there's several other well-known people in this area. We do believe there's opportunities for interoperability for connection between these types of platforms in what we would call Roblox as an immersive 3D co-experience platform. So 1 of the things we're doing with Guilded is using that as a way to look into the way these types of platforms can connect openly. And when we do that, we will make those available to other social communication platforms.
Operator: And we have no further questions in the phone queue. I'll turn the conference over to Anna for the web questions.
Anna Yen: Great. I think we've got time for one more from Andrew Uerkwitz from Jefferies. Dave or Mike, can you discuss spending trends relative to new users versus repeat and by international versus U.S. Canada?
Mike Guthrie: Sorry, spending trends?
Anna Yen: Yes.
Mike Guthrie: So you’re saying for new users versus -- 
Anna Yen: Versus international. New users versus repeat, international versus U.S. Canada.
Mike Guthrie: Yes. Payers tend to, over time, increase their rates of payment and new payers always tend to be on the low end of monetization. So as we add new payers, they tend to come in low and grow over time as a cohort. Returning payers are pretty predictable as a cohort. They tend to grow really consistently for very long periods of time. So we have really high payer retention on the platform. And it's been true for forever that the new payers are dilutive to overall monetization of the existing payers we are continuing to add.  International monetization, it very much tracks GDP per capita. You look at the wealth effects of countries and the spending will look very, very similar. So if you took the U.S. as a unit of 1 and look at GDP per capita in the other countries, and you'll probably have a pretty good sense of where monetization is around the world.
Anna Yen: Great. Audra, I think that wraps it up for us.
Operator: Thank you. And that does conclude today's conference. Thank you for your participation. You may now disconnect.